Operator: Good day, and thank you for standing by, and welcome to the Ontrak Health Fourth Quarter 2024 Earnings Call. At this time, all participants’ are in a listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Ryan Halsted. Please go ahead.
Ryan Halsted: Thank you, operator, and thank you all for participating in today's call. Joining the call are Brandon LaVerne, Chief Executive Officer; Mary Louise Osborne, President and Chief Commercial Officer; and James Park, Chief Financial Officer. Earlier today, Ontrak released financial results for the quarter ended December 31, 2024. A copy of the press release is available on the company's website. Before we begin, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believes, estimates, expects, intends, guidance, confidence, targets, projects and some other expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance but may involve and are subject to certain risks and uncertainties, other factors that may affect Ontrak's business, financial condition and other operating results, which include, but are not limited to, the risk factors described in the Risk Factors section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Ontrak expressly disclaims any intent or obligation to update these forward-looking statements. With that, I'd like to turn the call over to Brandon.
Brandon LaVerne: Thank you, Ryan, and thank you, everyone, for joining our call today. First, I'll start with the progress we are making with our new customers. Collectively, we have now secured three new regional health plan customers and four health plan expansions in the last 14 months, spanning a range of plan types, including Medicaid, HARP, commercial and now Medicare Advantage, showcasing the versatility of our offerings. James will highlight the positive impact to our revenue of these new launches later in the call. I'm pleased to announce that our recent launch of our WholeHealth+ solution with our newest customer, Intermountain Health is going well. In a little over a month since launch, we have enrolled over 325 members and will continue to outreach and enroll from the 2,400 remaining WholeHealth+ eligible members that we added with this new customer. Additionally, we're also seeing strong enrollment and engagement with the members from the Northeast regional plan, which we announced in Q3 and launched during this quarter. Since launch, we have enrolled more than 450 members in our WholeHealth+ program. For recent customer expansions, we secured a three-year contract extension with Sentara Health plans. This agreement strengthens our long-term partnership and builds upon the 2024 successful expansion which grew our outreach pull by 6 times the size during the year. In addition, we have an existing customer who has recently expanded its geographic service area to a total of five Florida regions in February 2025, and we are in strategic discussions to potentially expand our Engage offering to include adolescents and members suffering from chronic pain conditions. Next, we're excited to share the progress we are making on our growing sales pipeline. We are in active strategic discussions with six additional health plan prospects, including a large Midwest plan that is in the late stage of our sales process. This large Midwestern plan after sharing full member data and completing the review of fees savings and ROI methodology has progressed to SOW drafting and review. Based upon our proposal that is currently in discussion, this plan could more than double Ontrak's run rate revenue and is reflective of stronger-than-expected alignment between Ontrak's AI-driven advanced engagement system and the planned high-need population. As I said before, this plan has sent us their member data, and I'd like to underscore that importance given Ontrak has a 100% success rate over the past several years in converting prospects to customers once data is received. One of Ontrak's core differentiators is our ability to ingest and analyze member-level data and to recommend a targeted population for outreach. The traction we are gaining with our customers and prospective customers reflects our expanding value proposition to our payer partners and their members. Ontrak is also now engaging with payer partners designated as a value-based provider versus a vendor, which fundamentally reshapes our economic model with an ability to provide additional value to our prospective customers. As a value-based care provider, we align the quality outcomes and HEDIS measures with medical cost savings and financial incentives that we share with our payer partners. In addition, designation as a value-based provider gives us greater access to reimbursable fees within their medical cost ratio rather than administrative vendor fees. This shift is further enabling additional pipeline opportunities and provides payers optionality and flexibility in working with us. We are very excited with the momentum we have been able to gain in 2024 and into 2025, but even more so with several opportunities we have in front of us. We see a path through the bottom of our sales funnel to double our revenue in 2025 and then through the middle of our sales funnel to double our revenue again in the following year. And now I will turn it over to our President and Chief Commercial Officer, Mary Louise Osborne, to discuss the details. Mary Louise?
Mary Louise Osborne: Thank you, Brandon. I'm thrilled to share as previously announced and as Brandon touched on, a new Medicare Advantage health plan partnership with Intermountain Health. Intermountain is a prominent health care system operating 34 hospitals and 400 clinics in the Western United States. The contract was executed end of December, and we successfully launched our WholeHealth+ solution mid-February 2025 for Intermountain's Medicare Advantage population in Nevada. Once measurable clinical and financial success has been demonstrated, Intermountain intends to explore scaling Ontrak Solutions to a wider Medicare Advantage cohort and potentially extending Ontrak Solution to additional lines of business. Along with this new health plan customer, we are in active strategic discussions with six additional health plan prospects, who have formally requested a clinical and financial proposal to evaluate our multiple behavior health solutions, clinical outcomes and estimated financial savings. Starting with the bottom of the funnel, I will provide a quick summary of each of the interested prospects that are moving forward in the sales cycle, all of which have follow-up meetings scheduled with decision-makers. As Brandon mentioned, we are super excited to be in late-stage strategic discussions with a large Midwestern plan who is deeply interested in our WholeHealth+ solution, for their 300,000 Medicaid members. We have been working very closely with the planned leaders for over a year and received the planned member data in March. We are responding daily to detailed questions about our solutions, clinical outcomes, estimated savings and closing gaps in care. We have provided a WholeHealth+ clinical financial proposal, which has been positively received by the plans team. The plan's leadership team has expressed their excitement for Ontrak's tech and AI capabilities such as our advanced engagement system, digital twin, next best action and the commitment of achieving a 2 times guaranteed ROI. This plan has prioritized behavioral health and recognizes the value in offering Ontrak Solutions to improve member health outcomes, reduce avoidable inpatient and emergency room utilization and produce savings. This prospect has requested for Ontrak to serve as a provider partner versus a vendor. What this means is, Ontrak will build a health plan CPT code for the WholeHealth+ services that we will provide for in world members. A provider model is an effective and more expedient way to begin a health plan partnership. To complete and execute the provider model contract for this Medicaid plan Ontrak applied or state Medicaid approval, and we are thrilled to announce Ontrak was approved on April 1, 2025. Ontrak in this prospect has multiple meetings scheduled to continue advancing all the final steps in the process before executing the MSA SOW. The next prospect is a rapidly expanding Medicare Advantage plan operating in three states prioritizing behavioral health support for high-acuity members. Recognizing the urgency to identify external partners to provide additional behavior health support for its members. The plan has expedited discussions, signing an NDA and immediately sharing the member data, identifying behavior health conditions that align with Ontrak solutions. Due to our increasing momentum, we are gaining more visibility into the potential revenue conversion for prospects in the middle of the funnel. We have four interested prospects. I will provide a summary on each. A Southeastern Medicaid plan has requested a clinical and financial proposal for their Medicaid SMI members. The plan's clinical leaders are excited about our Southeast footprint which includes serving another Medicaid plan supporting SMI members and having state Medicaid approval to serve members in the state. This plan is interested in our WholeHealth+ program and potentially our Engage Solution. Another large regional health plan located in multiple states is in active discussions with us. This plan is interested in Ontrak behavioral health solutions and advanced engagement system for its commercial population. The plan's clinical team is fully engaged with Delving deeper into Ontrak's innovative technologies, clinical programs, reporting capabilities and outcome measurements. This plan has requested, and we have provided a financial proposal to present to their leadership team. Another health plan prospect, a Medicare Advantage plan owned by multiple hospital systems in the Midwest region, is exploring a partnership opportunity. This plan has requested a financial and clinical proposal. They are interested in our WholeHealth+ and Engage Solutions. Another prospect, a medical health plan on the West Coast has requested a financial proposal on our quality program, supporting a few of their HEDIS gaps in care. The plan is interested in our outreach, engagement and support of members and assisting them with scheduling follow-up provider visits seven and 30 days after inpatient day and/or an emergency room visits. To summarize, we have had an abundance of sales prospect activity and six customer requests for financial proposals. While not all of these prospects will close, several late-stage prospects are anticipated to enter the final contracting phase within the next 30 to 60-days. The remaining opportunities are still midway in the funnel, and we'll need further strategic discussions before advancing to the next stage. Our proactive behavioral health solutions continue to gain traction and our total pipeline momentum continues to build, as you just heard, with six active prospects requesting financial and clinical proposals. We also have 20 additional prospects in the pipeline in some phase of strategic discussions, representing over 15 million lives. I will now turn the call over to our Chief Financial Officer, James Park.
James Park: Thanks, Mary Lou. In Q4, our revenue reached $3.1 million, reflecting an 11% decrease, compared to the same period last year. The decrease was due to the loss of a customer earlier this year, slightly offset by new customers signed during 2024. We began the quarter with 2,065 members and concluded with 2,125 resulting in a simple average of 2095, which includes 329 members that are part of our Engage Program. Our revenue per health plan enrolled member per month average approximately $500. This represents a sequential increase from $449 in Q3 of 2024 and a decrease from $546 in Q4 of 2023. The sequential increase is due to disenroll members related to a customer termination that we previously discussed, which brought down the average members enrolled at the end of the quarter, while it contributed revenue during the full quarter. The primary factor contributing to the year-over-year decline in Q4 of 2024, compared to Q4 of 2023 is due to the mix shift resulting from newer customers with different pricing structures and the inclusion of new engage members with lower revenue per member per month. As we move through the rest of the year, we anticipate our per member per month revenue to continue to decrease, compared to last year, while overall revenues are expected to increase. Regarding our Q4 membership data, we added 1,641 new members during the quarter, with 659 members enrolling in our Engage Program. The current quarter's total enrollment is a sequential increase, compared to the 1,166 new enrollments in Q3 of 2024 and a year-over-year increase from 654 in Q4 of 2023. Our Q4 2024 new members enrolled is the highest total enrollment in a quarter since the third quarter of 2021. Dividing Q4 gross enrollments by our outreach pool, which averaged 13,168 for the quarter, it annualizes to a 50% enrollment rate, compared to 64% enrollment rate in Q3 of 2024 and 63% in Q4 of 2023. We ended the year with a total outreach pool of $25,000, which includes $20,000 for our Engage Solution. And as of today, the total outreach pool is at $29,000. In the current quarter, our average monthly disenrollment rate stood at 19%, compared to 11% in Q3 of 2024 and 16% in Q4 of 2023. The disenrollment rate was higher in the current quarter due to the disenrollment of members of the customer termination previously discussed. Without the impact of these numbers, our disenrollment rates for the quarter would have been slightly lower than historical decision moment rates. Additionally, we saw 226 enrolled members graduate from our WholeHealth+ program this quarter. This graduation rate represents approximately 11% of the members enrolled at the beginning of the quarter, which is consistent with previous periods. Taking into account new enrollments, disenrollment and graduations, we achieved a net increase of 60 members during the quarter. For Q4, we reported a gross margin of 61%. This represents a slight decrease from the 62% recorded in Q3 of 2024 and 64.6% margin in Q4 of last year. Looking ahead, we anticipate our gross margins to decrease slightly into mid-50s based on current pricing and mix of revenues between our WholeHealth+ and Engage Solutions. Turning to the balance sheet and cash flow statement. Our operating cash flow for Q4 showed a negative $4.3 million. This compares to a negative $3.6 million in the same quarter last year, and a negative $1.4 million in Q3 of 2024. As of year-end, our cash reserve stood at $5.7 million. This represents a decrease from the $9.7 million we had on hand at the conclusion of the previous year. During the quarter, we drew down $1 million and subsequent to quarter end, we drew down another $1.5 million of demand notes, leaving $5.5 million available for future draws subject to approval. We are currently in active discussions for financing options to access capital needed to continue to execute on our sales pipeline and our business plan. Specifically for Q1 2025, we anticipate revenue in the range of $2 million and $2.3 million or a 36% to a 27% sequential decrease. This sequential decrease and the revenue being lower than our annual run rate of $15 million from customers under contract is due to the lost customer at the end of the fourth quarter and revenue from new customers still in the ramp-up phase. While this represents a temporary step down, we have strong visibility into achieving our revenue run rate by Q2 of 2025. This confidence stems from the progress in onboarding and enrolling members from recent launches such as our WholeHealth+ Solution with Intermountain Health and the Northeast regional plan. We anticipate revenue contribution from these implementations to stabilize in Q2 and followed by sequential growth in Q3 as programs mature and member engagement expense. The bottom of our funnel, which includes a large Midwestern plant that Mary will discussed, that add an incremental annualized revenue of $14 million to $16 million, which would effectively double our annualized revenue. The remaining opportunities in the middle of our sales process represents $20 million to $28 million of additional annualized revenue opportunities. With this progress we've made in our sales model, we see a path to double our revenue in 2025 and again into next year. Now we will open up for questions. Thank you.
Operator: [Operator Instructions] I see no questions in the queue. I would now like to turn the call back over to Brandon LaVerne for any closing remarks.
Brandon LaVerne: All right. Thank you, Victor, and thank you, everyone, for joining us on our call today. I hope everyone has a great day. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.